Operator: Good afternoon. And welcome to the TaskUs Investor Call. My name is Olivia and I will be your conference facilitator today. At this time, all lines have been placed on mute to avoid background noise. After the speakers remarks, there will be a question-and-answer session. [Operators Instructions]. I will now like to introduce Alan Katz, Vice President of Investor Relations. Alan, you may begin.
Alan Katz: Good afternoon. And thank you for joining the TaskUs Fourth Quarter and Year-End 2021 earnings call. Joining me on the call today are Bryce Maddock, Co-Founder and Chief Executive Officer of TaskUs, and Balaji Sekar, Chief Financial Officer. Full details of our results and additional management commentary are available in our earnings release, which can be found on the Investor Relations section of the website at ir.taskus.com. We also plan to post supplemental information on our website, including an investor presentation and other materials following this call. Please note that this call is being simultaneously webcast on the Investor Relations section of the company's corporate website. Before we start, I would like to remind you that the following discussion contains forward-looking statements within the meaning of the federal securities laws, including, but not limited to statements regarding TaskUs' future financial results and management's expectations and plans for the business.  These statements are neither promises nor guarantees and involve risks and uncertainties that may cause actual results to differ materially from those discussed here. You should not place undue reliance on any forward-looking statements. Factors that could cause actual results to differ from forward-looking statements can be found in our updated prospectus filed with the SEC on October 22nd, 2021, which is accessible on the SEC's website, as well as in the Investor Relations section of our website, and may be supplemented with subsequent periodic reports we filed with the FTC. Any forward-looking statements made in this conference call, including responses to questions, are based on current expectations as of today, for very 282022. And TaskUs assumes no obligation to update or revise them, whether as a result of new developments or otherwise, except as required by law. The following discussion contains non-GAAP financial measures. For reconciliation of each of these non-GAAP financial measures the most directly comparable GAAP metric, please see our earnings press release, which is available in the IR section of our website, @ir.taskus.com. Now, I will turn the call over to Bryce Maddock, Co-Founder and Chief Executive Officer of TaskUs. Bryce?
Bryce Maddock: Thank you, Alan. Good afternoon everyone and thank you for joining us. 2021 was a very strong year for TaskUs. Our team delivered growth in the fourth quarter that once again came in above the high-end of our guidance range and we set ourselves up for another year of solid growth in 2022. Before I dive into the financial results, I want to take a minute to acknowledge the great work of our team in keeping our teammates safe and healthy. The pandemic and recent world events have impacted everyone in different ways. Many of us have seen our mental health impacted. In response, our global wellness and resiliency team stepped up to support our teammates during this difficult year. They completed nearly 30,000 group in one-to-one counseling sessions with TaskUs teammates across the globe. At TaskUs, our teammates are the most important asset in our company. Our highest priority is to support them and keep them safe. Moving to our financials, Q4 was another very strong quarter of top and bottom line growth. Revenue grew organically by 63.4% year-on-year to $226.8 million, above the top end of our guidance range of $217 million. Adjusted EBITDA grew 70.5% year-on-year to $56.2 million for an adjusted EBITDA margin of 24.8%, also above the top end of our guidance range of 23.3%. For the full-year, we achieved $760.7 million in revenue and a $187.9 million in adjusted EBITDA, for an adjusted EBITDA margin of 24.7%, again, above the top end of our guidance ranges.  We ended the year with top-line growth of over 59% while maintaining margins that we believe are among the highest in the industry. To say that I'm proud of what we accomplished this year would be an understatement. 2022 is off to a strong start. The theme for the year will be growth driven by a broad and diversified client base. For 2022, we expect to grow revenues organically at 30% at the midpoint of our guidance range. Balaji will provide a more detailed breakdown of our guidance later in the call. For now, I'll turn back to Q4. We continued to make great progress across our five growth levers this past quarter. We executed particularly well on the first two growth levers, expanding with our current high-growth clients and adding new clients across verticals. In digital customer experience, we grew revenue by 69% compared to Q4 2020, driven by expansion with existing clients and new client signings. A big part of our success in this area has been driven by our investments in the FinTech and crypto currency space, where we're delivering the specialized services these high-growth businesses need to grow and protect their brands. We also saw continued expansion with our ride-sharing and food delivery clients. These clients business models continue to evolve and grow and we're being asked to take on more complex work, handling premium customers and dedicating teams to support critical rider in driver safety lines, as well as investigate and manage fraud and disputes. Content Security revenues grew by 23% compared to Q4 2020, largely driven by volume growth with existing clients. We expect Content Security growth to be a bit more lumpy than the rest of the business as volumes from this service are still highly concentrated amongst three leading Social Media companies. We currently provide these services to one of these companies and believe the other two companies represent meaningful growth opportunities.  We have continued to grow our constant security services with other clients, such as dating apps, eCommerce sites, and exciting new NFT Marketplaces. Finally, air operations revenues continued to grow tremendously in Q4. Revenue from AI operations grew by a 128% year-on-year in the quarter, driven primarily by expansions with new and existing clients in social media, FinTech, and eCommerce and a large autonomous vehicle company. We've been investing heavily in AI operations, developing a crowdsourcing platform that we call the TaskVerse. TaskVerse.com is now live and accepting sign-ups. This platform will enable gig workers with varying skill sets from across the globe to perform micro tasks for our high-growth tech clients. We believe the most common use case for this platform will be collecting an annotating datasets for machine learning projects, but we're excited to see what our clients demand and our community delivers. We're in the process of rebranding AI Operations as AI Services to better represent our breadth of offerings and align to industry nomenclature. Going forward, I will refer to this service as AI Services, which will be made up of the same types of work that we've previously described as AI Operations. Moving on to signings. Growth from existing clients again accounted for approximately 2/3 of our signings in Q4. We had our largest signing in the quarter with one of our FinTech clients. This client is a major player in the crypto currency space. We will be expanding the customer experience work that we do for them today, increasing our support for institutional clients, and providing security analysis of blockchain transactions. We signed an expansion with our largest health tech client, a digital health insurance provider, to meet their rapid growth needs.  We're providing both inbound and outbound services for their patients and providers, and expect revenue from this client to roughly triple in 2022. We added some great new clients in Q4, including an NFT marketplace, a fast-growing outdoor retailer with a cult-like following and a large online genealogy business. Finally, we landed our first contract with one of the largest tech companies in the world. Here, we're helping them to scale their learning and development function by delivering instructional designers, technical writers, and learning specialists. Overall, 2021 was a tremendous year for our sales and client service teams. We ended the year with a new client win rate of 49% and a total new business win rate of 60%. Our net revenue retention rate for the year was a 141% up from a 117% in 2020 because we retained our high-growth clients and help them to scale aggressively. As we head into 2022, we have a strong pipeline of opportunities with both new and existing clients. Before we move on, I want to provide an update on our largest client. As we said in the past, this client is not only our largest client, but also continues to be one of our strongest client relationships. In fact, we did more business with them in Q4 than in any other prior quarter. In January of this year, we began discussing a project to optimize our global delivery footprint for this client. Based on this analysis, we plan to shift hundreds of roles to our operations in the Philippines and India. We continue to grow our teammate population globally with this client and expect to have more teammates supporting them at the end of the year than we do currently. But given the changing geographic mix, we are not forecasting any year-on-year revenue growth from this client in our 30% revenue growth outlook for 2022. This optimization project will begin in Q2 and be completed before the end of the year. Once the transition is complete, we will continue to have teammates supporting this client in all four countries from which we provide them services today. We expect this client to continue to be our largest client for the foreseeable future. It's also important to note that with robust demand across our broadening client base, we do not anticipate having to eliminate any jobs as a result of this transition. Teammates supporting this client today, whose roles will be transitioned, will move to support some of our most exciting and fast-growing clients. As I said at the start of the call, we expect 2022 to be a year of diversified growth across a growing portfolio of high-tech clients. We did a great job laying the foundation for this last year. For example, in 2020, we had 46 clients at $1 million a year or more in revenue, including eight clients and over $10 million a year. In 2021, we grew to 72 clients, over $1 million a year in revenues and the number of clients for whom we delivered $10 million or more in services doubled to 16 clients. We also continued to expand the number of specialized services that we deliver to our largest clients. In 2020 seven of our top 20 clients use two or more of our specialized services. In 2021, this number more than doubled to 15 of our top 20 clients. That segue is nicely into our third growth lever. Expansion of our service offerings. We increased our investments in Fin crime and risks in the fourth quarter. In Q4, we appointed our former Head of legal to lead this new business line. We also began hiring a team of experienced broad risking compliance practitioners and crypto currency experts to lead our go-to-market strategy for these offerings. We see this as a natural expansion of our capabilities for FinTech clients and see a tremendous opportunity ahead. We're also expanding our learning experience services. The -- In addition to the signing that I mentioned earlier, we have multiple clients now turning to us to manage learning and training across their enterprise. We're helping them to modernize their learning strategies, deliver learning analytics, and maintain their instructional and knowledge based content.  This service area is born out of our ability to train and develop our own teammates. We're excited to continue our investments and thought leadership in people development by broadening our suite of services. We will announce this new offering publicly this quarter branding it as TaskUs learning experienced solutions or LXF. During the fourth quarter, we also made progress on our fourth ladder, geographic expansion. We expanded into Japan and Malaysia, and expect to expand into Poland and Romania this year. We're also growing in our current geographic footprint, adding capacity in India, the Philippines, the U.S. and Latin America. Lastly, in terms of M&A, our fifth growth driver, we continue to look at deals and I've seen some interesting opportunities. We're focusing on companies that are accretive to our long-term growth rates, margin targets, and most importantly, our culture. We're particularly interested in M&A to accelerate our growth in Europe or add to our specialized service capabilities. It's important to note that any M&A completed in 2022 will be incremental to the revenue guidance we're providing today. Our progress on these five growth levers and our broadening base of high growth clients positions us to deliver on our medium-term revenue growth target of 25% or above for the years to come. Our success in 2021 was equally impacted by our operations. Across the industry, we've heard about the challenges of attracting and retaining talent. In Q4, we added approximately 4500 net new TaskUs teammates and met our clients hiring requirements.  Attracting great talent is key, but retaining talent is equally as important. Our attrition rate for the year as measured by voluntary attrition after 180 days of employment was 15.3%. Our Glassdoor rating was 4.6 stars at the end of the year, down 0.1 stars from last quarter, but well above our peers. As of December 31st, approximately 90% of TaskUs frontline teammates around the globe continued to work safely from home. We expect to begin to return some teammates to our offices starting in Q2, but given the recent variants, we're taking a cautious approach here. A portion of our global teammate population will likely continue to work from home for the foreseeable future. 2022 is off to a strong start. Our growth is being driven by a broadening base of innovative clients. We're expanding our geographic delivery footprint and deepening the specialized services our clients rely on us for. We are well-positioned to deliver 30% organic revenue growth at the midpoint of our guidance range. With that, I'll hand it over to Balaji to go through the financials in a bit more detail and provide our outlook for Q1 and the year ahead.
Balaji Sekar: Thanks Bryce, and good afternoon everyone. I'm going to focus my remarks on our financial DSOs for the fourth quarter. Please note that some of these items are non-GAAP measures and the relevant reconciliations are attached to the press release we issued earlier today. In the fourth quarter, we earned total revenues of $226.8 million, an increase of 63% over the prior year, leading to the total revenues for the year of $760.7 million and growth of over 59%. We saw year-over-year growth in each of our three specialized service offerings. In the fourth quarter of a digital customer experience offering generated $148.1 million for a year-over-year growth rate of 69%. Our Content Security business grew 23% compared to Q4 2020, resulting in $44.6 million of revenue. And our air operation business grew 128% year-over-year for revenues of $34.1 million. In Q4, we continued to see diversification of our revenue base. We grew revenue with our top two clients year-over-year, while growing with the rest of our clients at an even faster rate. As a result, our revenue concentration with our largest client was 25%, down from 27% in Q3 and 32% in 2020. Even with this improvement in revenue concentration, our largest client grew revenues quarter-over-quarter by approximately $3 million. Our second largest client was 9% of our revenue, down from 11% in the previous quarter. This slight sequential quarterly decline was the result of our success in helping this client optimize their global footprint and cost structure.  We expect to return to sequential revenue growth with this client beginning Q1 of 2022 and should continue to see sustained growth throughout the year. In Q4 of 2021, our top 10 and top 20 clients accounted for 60% and 75% of our revenue respectively, compared to 66% and 80% in the prior year as our trend of revenue diversification continues. In the fourth quarter, we generated 52% of our revenues in the Philippines, 31% of our revenues in the United States, and 17% of our revenues from the rest of the world, mainly driven by our operations in India and Mexico. In terms of our thoughts of service as a percentage of revenues, it was 56.2% in the fourth quarter compared to 57.1% in the prior year. The year-over-year reduction in cost of service was primarily driven by the depreciation in Philippines peso. We expect our cost of service as a percentage of revenue to be roughly flat in 2022 as wage inflation and expenses associated with beginning to move our teammates back to the office. It will be offset by geography mix and the cost of living price increases incorporated in many of our contracts. In the fourth quarter of our G&A expenses were $65.7 million or 29% of revenue. This compares to this G$A in Q4 2020 of $29.9 million or 21.5% of revenue. Our Q4 2021 is G&A expense included a full quarter of public company related expenses, as well as stock-based compensation expense, which we did not incur as a private company. Stock-based compensation and transaction cost was approximately 10% of revenue. Those, excluding stock-based compensation and transaction costs, revenue would have been approximately 19%. We had adjusted EBITDA of $56.2 million 24.8% margin in Q4 compared to $32.9 million and 23.7% adjusted EBITDA margin in the same quarter last year. Our revenue growth and lower cost of service more than offset the increase in public company costs and investments in digital initiatives.  For the full year, we achieved $187.9 million in adjusted EBITDA for an adjusted EBITDA margin of 24.7%, both the top end of our guidance ranges. Adjusted net income for the quarter was $37.1 million, and adjusted earnings per share was $0.34. By comparison, in the prior-year period, we earned adjusted net income of $20 million and adjusted EPS of $0.22. For the full-year, adjusted net income was $ [Indiscernible] million and adjusted earnings per share was $1.26. Now moving onto our cash flow and balance sheet. Cash from operations was $30.8 million for the fourth quarter as compared to $13.2 million in Q4 2020, driven by revenue growth. Cash and cash equivalent were $63.6 million as of December 31st, 2021, compared with September 30th balance of $61.3 million. The improvement in DSO and accounts receivable was offset by the payment of a portion of our year-end bonus and increased Capex associated with investments in technology infrastructure and our offices. Our DSO reduced from 71 days in Q3 to 65 days in Q4, driven by improvements in our order-to-cash process. We see the opportunity for continued improvement in this process throughout 2022. In the first half of 2021, our DSO increased as a result of revenue growth, leading to unbilled receivables that were higher as a percentage of revenues than the approximately 33% or one month of in-period revenues that we would expect to see.  We also had a large client that was paying their invoices almost immediately that began to pay their invoices per their contract terms. This led to a negative working capital impact in 2021 to be clear, this client has continued to pay on or ahead of their agreed upon payment terms. Of our capital expenditure increase in the fourth quarter to $20.8 million or 9% of revenues compared to $7 million or 5% of revenues in Q4 2020. For the full-year, Capex was $59.4 million or 8% of revenue up slightly as a percent of revenue compared with fiscal 2020. Capex was primarily driven by purchases of computer equipment due to increased headcount and the facility expansions as part of our return to office plans. We expect that Capex would be relatively flat as a percent of revenues in 2022, as we build up new geographies and continue to invest in technology systems. At this point, I will outline our financial outlook for the remainder of the year. We anticipate full year 2022 total revenues to be in the range of $918 million to $1 billion, representing year-over-year growth rate of 30.1% at the midpoint. We expect to earn full-year 2022 adjusted EBITDA margin of approximately 23%. For the first quarter of 2022, we anticipate revenues to be in the range of $229 million to $232.2 million representing year-over-year growth of 50.8% at the midpoint. We expect to earn adjusted EBITDA margin of approximately 22.5%. As a result of the spread of Omicron, we saw increased absenteeism in January. While attendants has returned to normal levels in February, our Q1 revenues will be impacted by approximately $2 million. This impact is reflected in the Q1 guidance I just provided. As a reminder, Q1 also has the impact of fewer working days when compared to any other quarter. Despite the impact of both of these items, we are expecting over 50% growth at the midpoint. In terms of margins, we have a cost of living price escalator in many of our contracts, which will offset base inflation through the year as certain contracts reach their anniversaries. Over time, we would also expect to see the positive impact from our geographic mix with certain clients moving work to offshore geographies and a benefit from currency as the dollar that's appreciated versus the rupee and the peso compared with last year. The year-over-year comparison of adjusted EBITDA margins will continue to be impacted by public company expenses in the first two quarters of the year. Also, we're planning for additional expenses associated with returning a portion of our teammates to the office. Finally, we're continuing to invest in developing technology, deepening our service line expertise, and expanding our sales and client organizations in order to drive growth. All-in, we are very well positioned to meet our revenue growth and margin targets this year, as well as delivered upon our medium-term targets of 25% or greater year-over-year revenue growth and adjusted EBITDA margin target at or above 25%. Thank you. And I'm going to hand it back to Bryce before we take your questions.
Bryce Maddock: Thank you Balaji. Before we move into our Q&A session, I wanted to share another TaskUs teammate's story. In December 2021, Typhoon Odette devastated parts of the Philippines and especially impacted our site in Bohol. When it became clear that Odette was going to hit the site, we mobilized as a company and our people and customers rallied to ensure the safety and well-being of our teammates. Janice (ph) and Mediator Voisa (ph) are two teammates who work at Lizzie's playground, our site in Bohol. Jenise and Mediator Stanley home was destroyed by the typhoon. During the typhoon, our team grew concerned as both teammates were unreachable by phone. The day after the typhoon, our door-to-door rescue team was able to locate Janice and Mediator, and our team provided them temporary shelter in a hotel, free food and transportation services.  Despite having lost their home, Janice and Mediator told us that they were ready to report back to work. So we transformed the second floor of our office into a temporary shelter for teammates and their families, like Jonathan mediator, who were affected by the typhoon. During their stay, all teammates were provided free food, medicine, and toiletries. And today I'm proud to report that Jonathan mediator are having their homes rebuilt by TaskUs teammates as part of our TaskUs Home Rebuilding program. Our clients and teammates around the world donated their time, money, and resources to make this happen. With quarantine restrictions now lifted, I'm finally going back to the Philippines next quarter and plan to visit our site in Bohol to thank our team there personally. For now, I want to give a heartfelt and public thank you to all of our teammates, their leaders, and our incredible clients whose compassion made this possible. With that, I'll ask our Operator to open our line for the question and answer session. 
Operator: [Operator Instructions]. Please stand-by while we compile the Q&A roster. And our first question coming from the line of Maggie Nolan with William Blair. Your line is now open.
Maggie Nolan: Hi. Thank you and huge congrats to you guys for surpassing expectations. Bryce, you said you're optimizing the global delivery footprint for your largest client. Can you talk a little bit more about what does this mean for the relationship and for profitability at the account. And then, do you expect this pattern in other large accounts?
Bryce Maddock: Yes. Thanks, Maggie. So the relationship with our largest client remains one of our strongest client relationships, at the start of the year, we came together and we put together a plan to optimize our global delivery footprint under that plan, we're going to move hundreds of roles to the Philippines and India before the end of this year. As we said in the past, we make lower revenue per employee in the Philippines and India, and that's the reason we're not forecasting any annual revenue growth from this client currently. With that said, since we put this plan in place, we've actually been awarded two new lines of business that will add hundreds of addition roles to our teams supporting this client globally. So by the end of this year, we're going to have more role supporting this client globally than we do to today, to the teams of hundreds of more roles. It is also worth noting that the Philippines in India are our highest margin geographies. So once the transition is complete, the margins we earned from the client will. expand. And finally, we're seeing very robust growth from our other clients across our global regions. So every single teammates supporting this client today, whose roles will be transitioned, will be offered new role supporting some of our most exciting and fast-growing clients.
Maggie Nolan: Thank you. That's helpful. And then Gregg guide, including the outlook for Q1, can you talk a little bit about the sales trends on the pipeline so far this year, and how that compares to the prior year and Q1 in the prior-year. Thank you.
Bryce Maddock: 2021 was one of our strongest, actually our strongest sales year ever and I previously shared that Q1 of 2021 was the best quarter that we've ever had in terms of sales in our company's history. Q1 of 2022 is off to a very fast start and it feels reminiscent of Q1 of last year. So I'm excited to tell you more about the specifics of the wins we've had so far when we report our Q1 results.
Operator: Our next question coming from the line of James Faucette, with Morgan Stanley. Your line is now open.
James Faucette: Thank you very much. I wanted to ask, about if you're seeing any incremental wage pressure in the market right now, and how that maybe impacting your expectations for margin evolution through the course of the year?
Bryce Maddock: Yes. I'll let Balaji talk a little bit about this in specific, but let me just talk a little about the hiring environment. We are seeing a very competitive hiring environment. And it's in environments like this that we see the investments that we have made in our employee value proposition since day one really pay off. The hiring environment today allows us to further distinguish ourselves from the competition. In 2021, we added over 16,000 net new positions. And we actually added progressively more roles in each quarter, and delivered against our client's very aggressive hiring timelines. At the start of 2022, we're seeing the competition intensify and that's certainly putting pressure on wages. We're seeing this most acutely in the U.S. and for our global leadership positions. But despite this, we anticipate adding more -- as many or more roles in Q1 than we did in Q4 of 2021, which really underlines our ability to attract and retain talent in almost any market. Balaji, do you want to comment further on margins?
Balaji Sekar: Yeah, thanks Bryce. So we are seeing great pressure across all delivery locations most significantly in the U.S., and the [Indiscernible] intention actually depends on geography, the performance and tenure, but these are then factored into margin guidance that I provided today. We believe that we are seeing current market rise to geographies in which we operate. So we're not in a situation behavior now playing catch up. And this question will be offset by [Indiscernible] provisions in our contracts, the margin [Indiscernible] offshore geography mix, that we're starting to see this year, and positive currency environment. And we believe that cost of service as a percent of revenues will be roughly flat from 2021 in 2022.
James Faucette: Got it. And then, if we look at your guide for this year and with changes in delivery mix etc., what do you think is the adequate number of net headcount additions, at least on a quarterly basis to support the revenue growth? And I guess as part of that, Bryce, you mentioned acquisitions could be incremental to your guide, but what are the other potential upside drivers that you see to your growth rate for this year? Thanks.
Bryce Maddock: Yes, thanks for that question, James. So to start, we anticipate continuing to add, well, north and 4,000 net new teammates in every quarter of this year. And we're very confident in our ability to continue to do that for our clients. As far as the 30% growth forecast that we've provided at the midpoint, 2022 is off to a very, very strong start. We've got visibility to around 95% of the forecast that we provided today and we're continuing to see robust demand across our broadening portfolio of clients. With the exception of our largest client, we expect that the other four of our top five clients will grow revenue significantly year-on-year. We expect two of our top five clients to grow revenue by double-digit percentage point year-on-year, and the other two to grow by triple-digit percentages year-on-year. And what's best about that is that we're already in the midst of aggressive hiring efforts for these clients, today. So a large portion of this growth will be ramped by the end of Q1. As I've already said, Q1 sales are off to a very strong start in Q1 of 2022 feels reminiscent of our record sales quarter for Q1 of 2021. And I'll just finish by saying that we've reported three quarters now as a public company. So hopefully they're getting the sense that we only provide [Indiscernible], that we have a high degree of conviction that we can meet or exceed.
James Faucette: [Indiscernible]. Thank you so much, guys.
Operator: Our next question coming from the line of Puneet Jain with JPMorgan. Your line is open.
Puneet Jain: Thanks for taking my question. Bryce or Balaji, can you talk about margin profile of some of the new services that you are adding, and how should we think about margins beyond this year -- just in qualitatively in terms for levers, puts and takes we should consider as we model margins beyond this year.
Bryce Maddock: Yes, thank you for that question Puneet. So, to start, in the past we pointed out that the main driver of margin is geography rather than service line. With that said, we're seeing higher margins in some of our new service lines, such as financial crimes, learning experience solutions, and the more advanced areas of AI Services. So as these areas make up a larger and larger percentage of our revenues, they are going to help us to expand our margins. Balaji, I'll let you comment maybe on the midterm margin guidance.
Balaji Sekar: Yes. So we have -- while for this year we've indicated about 23 percentage in adjusted EBITDA margin, what the indicative that the in the medium-term, we will be able to deliver above 25 + percentage from adjusted EBITDA -- I've talked about 25% in adjusted EBITDA margin, and a couple of things that is going to drive that positive operating in a bit, that comes from growth. We would see that both, in our cost of service and [Indiscernible] line items. And second is the geo mix shift that we spoke about earlier towards offshore, which is margin [Indiscernible]. And lastly, the growth in specialized services that Bryce just spoke about, which have better price leading to growth and margins.
Puneet Jain: Got you. And can you also talk about your use of cash priorities. I know you talked about M&A and organic investments in business. Can you talk about which areas you're looking for deals and which areas you're looking to invest in?
Bryce Maddock: Yeah. We're investing this year to continue our growth into 2023 and beyond. Specifically, we're making investments to deepen our specialized services, expand into new geographies, and to further accelerate our development and technology to help our clients drive efficiencies into their business. We're also expanding our sales and go-to-market team to accelerate our growth. As we've indicated, we absolutely intend to pursue acquisitions, to accelerate all of these efforts, and we do not expect to let cash build up on the balance sheet.
Balaji Sekar: And Puneet, just to add onto what Bryce said, is also we have a very comfortable cash situation and our net leverage ratio compared to adjusted EBITDA was about 0.9x as of the year-end, which is below our debt covenant of about -- approximately about 3.75.
Puneet Jain: Thank you.
Operator: And our next question coming from the line of Dave Koning with Baird, your line is open.
David Koning: Hey, guys, congrats, and it was all very impressive. One thing that stood out that's particularly impressive; to guide 30%- ish. And then basically have a headwind from the geoshift. It seems like so -- maybe -- could you tell us what -- your volume growth expectation? It seems like it's going to be nicely better than the 30%, to start off.
Bryce Maddock: Dave, yes, that's correct. And I think what's underlying this is our -- the strength of growth that we're seeing from across the rest of our client portfolio. With the exception of our largest client, we expect the other two of our top five points to grow revenue year-over-year by either double or triple digit percentage points. And that is going to lead to this really broad diversified base of customers that will help us to meet or exceed that 30% revenue growth guide.
David Koning: Got it, thanks. And then I guess the second question just do you still expect -- now that the base keeps getting bigger and bigger, do you still expect that you can grow 25% a year past this year? And are there acquisitions -- maybe broadening out the different vertical markets, is that to -- are there acquisitions you can find that actually can keep up the same type of growth rate as you see?
Bryce Maddock: Yeah. To answer the first question, we do. When we think about medium-term, we think about the next two to three years and so we absolutely believe we can grow revenue in 25% or above for the next two to three years at a minimum. When we look at our acquisitions, we started by focusing on modestly-sized acquisitions that will be easier for a company of our size to digest. And unfortunately, those companies are growing revenue at a percentage that's comparable or in some cases better than ours. And so we're excited to focus on that type of company when we do our first acquisition.
David Koning: Great. Thanks. Nice job.
Operator: And our next question coming from the line of Jason Kupferberg with Bank of America. Your line is open.
Jason Kupferberg: Thanks, guys. Congrats on this quarter. I know there's been a lot asked on revenues and margins, but I'll ask on DSO and cash flow because I thought that was quite impressive as well. And Balaji, I know you've mentioned the improvement in the DSO, I think from 71 to 65 quarter-over-quarter. Can you give us the breakdown on the unbilled portion of the DSO there and any thoughts on that metric for 2022 and for free cash for that matter? Thank you.
Balaji Sekar: Yes. So from an analyst perspective, one of the things that I mentioned earlier is that see an improvement in numbers in Q3 and Q4 of 2021. So if you look at the first half of 2021, unbilled as a percentage of payable revenues was of about 9%. And the -- driven why it was because the higher backlog of invoice because of the grew that we saw in 2021 with [Indiscernible]. In Q3 and Q4 and going forward in this business, [Indiscernible] typically tends to be above one month of quaterly revenues. In Q4 were approximately 3%. And that is what we will continue to see getting into 2022.
Jason Kupferberg: Okay. And then I know you guys mentioned FinTech encrypt a couple of times. Curious what you might be able to tell us in terms of size and growth of those verticals combined at this point sounds like it's becoming much more relevant for you.
Bryce Maddock: Thanks for that question. So actually in 2021 FinTech, HealthTech, and retail, and e-commerce all grew revenues at triple digit percentage point year-over-year. And we're seeing that growth sustained into 2022, particularly for FinTech and HealthTech. We've been working with some of the industry leaders in both the FinTech and crypto currency space. In addition to providing customer support, we're also providing financial crimes work where we're analyzing blockchain security transactions during any money laundering and know your customer work. And so, while we've seen robust growth over the last year, we think we're just getting started in the overall growth potential in this space.
Jason Kupferberg: Alright. Well, thanks for the comments. Appreciate it.
Operator: Our next question coming from the line of Brian Essex with Goldman Sachs. Your line is open.
Brian Essex: Hi, good afternoon and thank you for taking the question and congrats on what I guess is a better than rule of 80 quarter. Wanted to follow up with Matt on -- to Maggie's question with regard to your largest customer, and that migration effort, how long does that take from beginning to end? Maybe if you give us a little bit of color in terms of how that conversation transpired, was it more of an effort of them to mitigate some rising costs on their side, or has this been the playbook from the beginning? And does this kind of cut-over in a specific quarter or is there a general migration throughout the year?
Bryce Maddock: Thanks for your question Brian. So we as a company, go through these migrations with customers over time. We tend to start with clients when they are very small scale very quickly, and then look to optimize our clients spend. And so all of these efforts are done in conjunction and collaboration between TaskUs and our clients. And so this was a conversation that began in January of this year as we looked for ways to optimize our clients spend and we made a recommendation to shift a large portion of these roles to the Philippines and to India. The transition will start in Q2 and we expect it to be completed in Q3. So there will be a relatively low impact to Q1 revenues and you'll see a full impact to our Q4 revenues. And would that said I will I'll just say again that we continue to win very exciting new business from this client. We've won two opportunities since putting this plan in place, and that'll add hundreds of additional headcount to our global delivery footprint for the client this year. So we're very optimistic about our ability to grow with this client again, in 2023.
Brian Essex: Got it. That's super helpful. So thank you for that. And maybe just a quick follow-up just on the top ten clients, just backing out the first the two largest for the quarter, it looks like clients three through ten more than doubled if my math is. Halfway right. Could you give us a little bit of color in terms of the dynamics at play there was that a relatively diverse set of customers in the top ten where they're ones that swapped in or out and what were some of the core drivers of that growth?
Bryce Maddock: Yes. So it is a very diverse set of customers and we've got on-demand transportation clients, FinTech clients, eCommerce clients, all in our top ten customers. And we've seen really strong growth across that group as you said, about a 100% when you back up the top two clients new every year. And as I said, as we look forward to 2022 amongst our top five other than our largest customer, four of those clients are, are going to be growing between double and triple percentage points year-on-year. So we're really excited about the broad base of growth that we're seeing in 2022.
Brian Essex: Got it. Helpful. Thank you very much.
Operator: Next question coming from the line of Dan Perlin with RBC Capital. Your line is open.
Dan Perlin: Thanks, and I'll echo my well wishes here on some very good numbers which we obviously greatly appreciate. I had a question around the scope of work and how it's changed in the past year. Bryce, you talked about -- I think you said FinTech, HealthTech and retail all grew triple-digits. And what it -- some of these sounds like it's like -- all of these new clients are moving more, they're giving you more specialized work. That works seems like it's a positive mix shift for you in terms of both breadth of opportunities, but also potentially longer-term margin opportunities. Maybe -- can you just speak to the scope of work, and how that's changed over let's say the past maybe 12 months?
Bryce Maddock: Yes, thank you for your question, Dan. We have seen increasing demand for more sophisticated services. As an example, inside AI Services, going from doing things like data annotation into software quality operations. We've seen demand inside our financial technology services going from doing customer support into supporting institutional clients, or doing financial crimes work. We just signed a deal this quarter with one of the largest technology companies in the world, a client that we've been pursuing for a long time. And instead of getting in there doing standard customer support work, we're going to be providing learning experience solutions. Actually, writing their training content and maintaining their knowledge base. And all of those are services where we will make higher margins. We're beginning to see this specialized service strategy pay off in the form of higher margins.
Dan Perlin: Is there something, as just a follow-up, unique as we think about FinTech, crypto, HealthTech becoming larger and larger percentages of the mix of your business that we need to be mindful of? Do they tend to want to be a little bit more in lower GEO areas, which helps in addition to the specialized services that you're providing or is it just the nature of the work that's coming your way now?
Bryce Maddock: Yes, I think that in both of these categories, we're supporting industry leaders, and these are companies that really care about the quality of service that they're delivering. When it comes to things like regulation, in many ways they're helping to champion some of those regulations, and we believe that those regulations will actually lead to an increase in demand for our services. But when we think about geographic delivery footprint, some of our FinTech and HealthTech clients demand that we keep work onshore for either regulatory reasons or just client preferences. And so I think that there's probably a lower probability of the geographic footprint optimization that we're going through with some other clients at the moment, but ultimately time will tell.
Dan Perlin: Yes. Okay. That's great. Thank you.
Operator: Our next question coming from the line of Matt VanVliet with BTIG. Your line is open.
Matt VanVliet: Congrats guys. Thanks for taking the question. I guess first price, you've talked about learning services opportunity, both at a large tech company and maybe expanding that out. So wanted to dig in a little bit more there. Is this something that you've been doing for a number of your clients for a while and it's now just becoming maybe a little bit more of a formalized product offering? Or is this something you've really just developed in the last several months or a couple of quarters and are now ready to go to market with it?
Bryce Maddock: Yes. Thanks for the question, Matt. So actually what happened here was really interesting. We've always invested a huge amount in the employee experience, and that starts with making sure that we are training our teammates in the most exciting and innovative way possible. So we've got an incredible learning leader, a gentlemen named Dhairya Sharma (ph), who has really championed our approach to teaching our teammates the skills they need to support our clients and putting our leadership through a really robust leadership development program. So that work has attracted one of our large clients a couple of years back. And this is a large autonomous vehicle company and they were interested in us taking over a team that was working on training content for them. This is a rebadge of the team based in the United States. We did that successfully and have since scaled that offering to multiple clients using a combination of domestic and offshore resources to maintain knowledge-based content, and put together instructional content. In many cases, actually, conduct the training sessions on behalf of our clients.
Matt VanVliet: And then you talked about a couple of times, both with your largest customer and maybe second and many others, as they start to use more of TaskUs, they -- they tend to look at the offshore markets, maybe a little bit more focused. Can you give us a sense of maybe how many of all your customers are using some form of offshore today? Maybe not just revenue mix, but just maybe longer-term, what the opportunity is, how that might have puts and takes in the model overall?
Bryce Maddock: Yes. So we -- as a company we started with delivery operations in the Philippines and the Philippines only and it wasn't until 2016 when we launched our operations in the U.S. that we had operations anywhere else. So the vast majority of our customers today use some portion of our offshore delivery model. That being said, we've got operations today in 10 different countries and we're really seeing a robust demand amongst customers to not just single-source for reasons of business continuity, language coverage and sourcing the right talent at the right price, our customers are increasingly leveraging two,three or four our countries to deliver their services.
Matt VanVliet: All right, great. Thank you for taking my questions. 
Operator: I'm showing no further questions at this time. I would now like to turn the call back over to Bryce Maddock, TaskUs CEO and Co-Founder for closing remarks.
Bryce Maddock: Thanks, Olivia. And just in closing, I want to thank our teammates, our clients, and our shareholders. We've had a very strong 2021 and we're looking forward to delivering another very strong year in 2022. Look forward to our next call in May. Talk soon.
Operator: Ladies and gentlemen, that does conclude our conference for today. Thank you for your participation. You may now disconnect.